Operator: Good morning, ladies and gentlemen, and thank you for standing by. Today's call is being recorded. I'll now turn the call over to Rocio Lorenzo, Chief Customer Officer of Liberty Latin America.
Rocio Lorenzo: Good morning, and welcome to Liberty Latin America's Second Quarter 2022 Investor Call. At this time, all participants are in listen-only mode. Today's formal presentation materials can be found under the Investors section of Liberty Latin America's website at www.lla.com. Following today's formal presentation, instructions will be given for a question-and-answer session. As a reminder, this call is being recorded and will be available under the Investors section of our website. Today's remarks may include forward-looking statements, including the company's expectations with respect to its outlook and future growth prospects and other information and statements that are not historical facts. Actual results may differ materially from those expressed or implied by these statements. For more information, please refer to the risk factors discussed in Liberty Latin America's most recently filed annual report on Form 10-K and the quarterly report on Form 10-Q most recently filed with the SEC, along with the associated press release. Liberty Latin America disclaims any obligation to update any forward-looking statements or information to reflect any change in its expectations or in the conditions on which any such statement or information is based. In addition, on this call, we will refer to certain non-GAAP financial measures, which are reconciled to the most comparable GAAP financial measures, which can be found in the appendices to this presentation, which is accessible under the Investors section of our website. I would now like to turn the call over to our CEO, Mr. Balan Nair.
Balan Nair: Thank you, Rocio, and welcome, everybody to Liberty Latin America's Second Quarter Results Presentation. I'll begin with our group highlights and an overview of our operating results. Chris Noyes, our CFO, will then follow with a review of the company's financial performance. After that, we'll get straight to your questions. As always, I'm joined by my executive team from across the region, and I will invite them to contribute as needed during the Q&A following our prepared remarks. As a point of housekeeping, we will both be working from slides, which you can find on our website at www.lla.com. Starting on Slide 4, and our highlights for the quarter, each of which we'll pick up in further detail during the presentation. Revenue was up by 1% on a rebased basis, which was in line with our first quarter performance. Our Q2 performance was driven by a 6% year-over-year rebased growth in C&W and Panama and Liberty Costa Rica, which was up 10% year-over-year on a rebased basis. Our fixed Internet subscriber base grew by 9,000 in the second quarter as we reported record adds in Costa Rica and an important return to growth in C&W driven by Jamaica. In mobile, we continue to see exciting results from our commercial focus on postpaid, and Q2 was the second consecutive quarter which we delivered more than 100,000 net postpaid additions. On July 1, we completed our acquisition of Claro Panama. We are encouraged by our initial steps in integrating the business, even though we will only combine our commercial activities early next year. Having said that, we are confident we can achieve our plan for the combined operations in the market. Finally, we further accelerated our buyback activity with $63 million of shares repurchased in the second quarter. This is our most active quarter yet, representing over 10% more purchases than in Q1. We were also pleased to release our 2021 ESG report in July, where we demonstrated significant progress in measuring and highlighting new goals with respect to our energy consumption, data privacy and security efforts and strengthening our commitment to positive change. Moving to Slide 5. We are focused on our Internet product as the lead component of our fixed consumer proposition. And here, we show our broadband adds by market. Starting with Cable & Wireless in the upper left of the slide where, as anticipated, we retained growth in the quarter. This was driven by Jamaica, where we added 4,000 Internet RGUs as we focus our sales effort and integrated new converged offerings with the existing bundled propositions. Moving across to the center of the slide and Liberty Puerto Rico. As you can see from the chart, we've delivered steady sequential growth year for a number of quarters and discontinued during Q2. For this right on the top row to Costa Rica. This is a market where we have consistently delivered net adds. In the second quarter, we set a new record, adding 11,000 subscribers, more than 70% higher year-over-year as we penetrated our expanding FTTH footprint and drove converged bundles. Moving to the lower left and C&W Panama, where we delivered a similar number of in net adds as the prior year quarter. We now have fiber or HFC across over 90% of our network footprint in Panama, and we see a clear opportunity to increase penetration from the roughly 25% level we have today. Finally, VTR saw broadband losses of 18,000 in the second quarter of just over 1% of the subscriber base as we move to more normalized pricing following our time limited Phoenix office in March and April. Our commercial focus in Chile is to maintain our broadband market share, and we achieved that in this quarter. Overall, the group continued to deliver broadband adds with particularly robust results in Costa Rica and Puerto Rico. Turning to Slide 6 and our mobile performance. We have highlighted postpaid adds as this is a driver of growth in recurring revenue, which is our focus. Postpaid ARPU is over 3x prepaid ARPU, which is why we are focused on this growth. Starting in the top left of the slide and C&W. We delivered another strong quarter of postpaid adds, nearly doubling the level of net adds in the prior year period and building nicely on a sequential basis. Jamaica drove the majority of Q2 performance with 9,000 adds, up more than 50% sequentially and over 100% year-over-year. Turning to Puerto Rico. As with C&W, we generated significantly more postpaid adds than the prior year quarter. Sequentially, we continue to benefit, although to a lesser extent, from a government initiative incentivizing mobile data access for teachers and students. Moving to the right of the slide in Costa Rica, our largest mobile operations in terms of subscribers. We added 30,000 postpaid subscribers in the second quarter and were confirmed as the #1 mobile player in the market by the regulator in their latest report, which is a testament to our service levels and propositions in the market. On the bottom left of the slide, we present Panama's performance. We added 28,000 postpaid subscribers in the second quarter, sustaining our strong Q1 numbers and taking our postpaid adds in the last 4 quarters to 86,000. Postpaid subscription revenue continues to grow strongly and was up by nearly 40% as compared to the prior year period. Lastly, in Chile, our adds were driven by the competitive Phoenix plants we first launched in March. Overall, we were pleased to deliver postpaid subscriber growth across all our reporting segments and another quarter above 100,000 adds in aggregate. Next to Slide 7 and our B2B operations. Starting on the left of the slide, we delivered another strong quarter in B2B as our markets continue to recover from the impacts of COVID-19. Our revenue was 8% higher overall in Q2, with growth across B2B services and our Networks and LatAm businesses within C&W. In B2B services, we grew our fixed Internet and mobile subscription revenue and had a strong quarter for project awards, particularly in Panama. Networks and Lat Am had another solid quarter with underlying growth in recurring revenue year-over-year. Above the chart, we have highlighted the gross revenue generated by our Networks and LatAm operations. This is the sum of the reported totals in the bars for the respective periods, plus intercompany eliminations that are removed in our consolidated financials. You can see that total revenue increased by about $75 million in 2021 and $40 million in the first half of this year, when looking at the Networks and LatAm business through this lens. I want to take a moment here to also update you on our strategic review for the Networks and LatAm business, which includes our subsea networks and B2B operations in markets where we don't have a consumer-facing product, such as Colombia. As discussed on previous calls, we believe that these assets are not accurately reflected in our public valuation. We can confirm that we tested the market and received strong indicative responses. This was the right track. But given recent market conditions, including the financial markets and macro uncertainty, we have decided to put things on hold for now. We are excited about this business. And from our strategic review, we will continue to invest and grow this highly cash-generative infrastructure-based business. On the right of the slide, we've outlined some of the key products and solutions that we offer to our B2B customers, ranging from connectivity solutions to security, collaboration and IT infrastructure products. Finally, to Slide 8, where we want to share some updates on our inorganic activities. We expect these transactions will drive significant stakeholder value through free cash flow growth. Starting on the left of the slide with our closed deals, which include Panama as of 1st of July. In aggregate, these deals are expected to drive over $150 million of synergy value to the group, which will include a significant uplift to our FCF in the coming years. We are in the early stages in Panama, but we are excited about the potential for our combined business. As I mentioned before, we will be combining the commercial activities at the start of next year due to regulatory requirements. However, we have been free to combine the network and back office from the day we close. As with Movil's acquisitions, there are dis-synergies in the initial phase post close, and Chris will pick up on the short-term financial impacts in his section. Once we are through this period, we anticipate significant upside with $70 million of free cash flow benefiting synergies across cost and CapEx. In Puerto Rico and Costa Rica, we continue to be on track with our plans. Post operations in Costa Rica, we're rebranded to the Liberty name in June this year, coinciding with the nation's qualifications for the FIFA 2022 Football World Cup for which we have exclusive mobile streaming rights. Puerto Rico is benefiting from converged bundle offers with all stores now selling both fixed and mobile products, and we have also begun to deliver FMC for our customers in Costa Rica. Finally, we passed a significant milestone in Puerto Rico with our new mobile core becoming operational. We'll continue to test the platform ahead of customer migration as we move into 2023. Moving to the right of the slide, we remain confident that we will complete our 50-50 joint venture with Claro Chile this year. Chile is an extremely competitive environment with multiple operators. However, we expect good long-term prospects for that market. This transaction should facilitate market repair in addition to generating significant synergy value in excess of $180 million. These synergies will help fund and grow the combined business. Overall, we believe that through our operational and inorganic progress, we are set to deliver meaningful adjusted free cash flow growth in the coming years, particularly as synergies are achieved. And it is hard to contemplate any M&A with better risk-adjusted returns than the current opportunity to repurchase our own securities. With that, I'll pass you over to Chris Noyes, our Chief Financial Officer, who will talk you through our financial performance before we take your questions. Chris?
Christopher Noyes: Thanks, Balan. Similar to the first quarter, we generated revenue of $1.22 billion, reflecting an approximately $45 million increase or 4% reported growth as compared to $1.17 billion of revenue for the Q2 2021 period. Positive contributions from Costa Rica, including the impact from the Telefonica acquisition and strong organic growth in C&W Caribbean & Networks and C&W Panama helped to fuel our revenue expansion year-over-year. Partially offsetting this growth, foreign currency depreciation versus the U.S. dollar in the quarter reduced our reported revenue by over $30 million, with the largest impact attributable to the weakening Chilean peso as the average rate fell by roughly 18% quarter-over-quarter and an organic top line reduction in Chile stemming from continuing high competitive intensity. On a rebased basis for the quarter, we once again delivered modest rebased growth of 1%. Moving to adjusted OIBDA. We improved sequentially from $440 million in Q1 2022 to $464 million in Q2, which was comparable to last year's reported figure. Our Q2 result reflects a rebased decline of 2% over Q2 2021 as our double-digit rebased increase in C&W Caribbean & Networks and 4% growth in Costa Rica was more than offset by declines in Chile, Puerto Rico and Panama. Integration costs totaled $7 million across LLA and negatively impacted our rebased growth rate by about 1 percentage point on a year-over-year basis. Turning to the third quadrant. Our P&E additions were $192 million in Q2 or 16% of revenue as compared to $215 million or 18% of revenue last year. About half of our quarterly spend was attributable to CPE and new building upgrade. In particular, we added 162,000 new build and/or upgraded homes in Q2, bringing our year-to-date total to nearly 330,000. We incurred about $10 million of integration CapEx in the quarter and including Claro Panama for H2, we expect to incur total integration CapEx of about $50 million in 2022. To finish this slide, we posted $73 million in adjusted free cash flow in Q2, a doubling over Q2 2021 levels. We expect H2 FCF to ramp significantly due in large part to higher adjusted OIBDA and substantially better working capital in the second half. In terms of phasing, we expect our FCF in H2 to be substantially generated in Q4. Slide 11 highlights our financial results by segment for Q2. Starting with C&W Caribbean & Networks, we produced $455 million of revenue or 6% rebased growth. We had steady revenue performance across both fixed and mobile in Q2, benefiting from higher volumes gained over the last year and a very strong B2B performance with 9% rebased growth. Our B2B result was due to growth in fixed Internet and mobile subscription services across the region, and we also were helped from IRU accelerations in our Subsea segment. For the various C&W market segments, our strongest revenue performers in the quarter were our Networks & LatAm business and the markets of Jamaica, Barbados and Cayman. We delivered adjusted OIBDA of $210 million or 12% rebased growth in the quarter. This performance was driven largely by our revenue growth and lower operating costs as compared to last year, resulting in a 46% adjusted OIBDA margin. Turning to Cable & Wireless Panama. CWP increased revenue from Q1 by roughly $15 million to produce Q2 revenue of $142 million, resulting in 6% rebased revenue growth over last year's Q2. Our rebased growth was driven by 13% growth in B2B and 10% growth in residential fixed, while residential mobile decreased modestly by 2% as our strong postpaid result was not able to fully offset declines in prepaid revenue. Adjusted OIBDA improved sequentially from the last quarter, moving from $41 million in Q1 to $44 million in Q2. As compared to last year's adjusted OIBDA of $46 million in Q2 2021, our Q2 result reflects a rebased decrease of 3% and a margin decrease of 300 basis points to 31%. This decline is a function of several factors, including higher equipment costs related to increased mobile handset sales and additional B2B projects and higher bad debt provisions as well as integration costs related to the acquisition of Claro Panama. Next to Liberty Puerto Rico in the middle of the slide. We reported revenue of $364 million, accounting for flat quarterly rebased growth. Our fixed residential business grew 4% rebased with broadband driving the result. During the quarter, we were also adversely impacted by $2 million in credits to our customers due to a power outage on the island. B2B also expanded in the quarter, while our residential mobile business declined due principally to lower subscribers and ARPU in our prepaid segment. Moving to adjusted OIBDA. We posted a $149 million for a rebased decline of 8%. The decline in the quarter was impacted primarily by higher negative equipment sales margin as well as lower net roaming margin and net incremental integration costs. While the year-over-year decline was impacted by a tough comparison to last year, we reported sequential improvement from Q1, and we expect continued improvement in the second half of the year. Next to VTR. We reported $150 million of revenue and $38 million of adjusted OIBDA, reflecting rebased declines of 16% and 35%, respectively. Our Q2 revenue and adjusted OIBDA results reflect the annualization impact of lower RGUs and ARPU, which was heightened by our more aggressive pricing plans that we launched beginning in March. Finally, to Costa Rica, we delivered $108 million in revenue for 10% rebased growth and $36 million in adjusted OIBDA for 4% rebased growth in Q2. Subscriber growth on mobile and fixed propelled our top line results as we have added 275,000 mobile subscribers and 63,000 fixed RGUs over the last year. Our rebased adjusted OIBDA growth was slower than revenue growth, in part due to roughly $2 million of integration expense in the quarter and $3 million of nonfunctional currency impact as the colon is depreciated by 9% on average quarter-over-quarter. Moving to Slide 12. At Q2, including VTR, which is held as an asset for sale on our balance sheet, we had $9.4 billion of total debt, $1.1 billion of cash and $1.2 billion of availability under our revolving credit lines. Gross leverage was similar to Q1 levels at 5.1x and improved slightly on a net basis to 4.5x. As a reminder, substantially all of our debt is siloed and tied to specific operations with the exception of our $400 million convertible bond. The primary development in Q2 with respect to the capital structure is that we borrowed roughly $172 million, including $160 million in 4.25% term loans at the end of the quarter in Cable & Wireless Panama in anticipation of funding the acquisition of Claro Panama in July. The maturity of our debt is quite extended with 88% due in 2027 or beyond, so we don't face pressure to refinance in the near term. As Balan mentioned, we repurchased our largest quarterly amount of equity in Q2 and are tracking significantly ahead of our planned pacing. We repurchased roughly seven million shares during Q2. And as of June 30, we had $107 million remaining in our authorization of $200 million that we put in place in February of this year. With respect to our financial guidance targets for P&E as a percent of revenue and adjusted FCF that we presented in our 2021 earnings call, we remain on track to deliver those targets based on the footprint that we had at the beginning of the year. We have worked hard to compensate for headwinds related to such items as currencies, inflation and Chilean performance, but there is some risk exasperated by the current macro environment, especially around the timing of large customer payments from Panamanian government accounts and certain B2B accounts in C&W that are expected to be received late in the year. Additionally, we indicated on our year-end call that our guidance did not include pending acquisitions such as Claro Panama. Including integration spend, our preliminary view is that we expect this business in H2 to deliver negative $10 million plus or minus in adjusted OIBDA and generate upwards of negative $30 million of free cash flow. Adjusting our guidance for the estimated Claro Panama impact in H2, our adjusted FCF target would be approximately $220 million and P&E as a percent of revenue would remain at approximately 18%. In summary, we are executing our strategy one quarter at a time, whilst managing through macro and political volatility within our markets. First, we believe our closed transactions in Puerto Rico, Costa Rica and Panama will be significantly value accretive and upon completion of integration resources of both adjusted OIBDA and free cash flow expansion. As Balan highlighted, the quantum of synergies and the roll-off of integration spend will provide a nice tailwind to our future results. Besides integration of acquisitions, closing the Chilean JV transaction is a primary focus for us, and we look forward to updating investors later this fall on the status. Second, our operating teams are driving fixed broadband and mobile postpaid across our B2C footprints, and are capitalizing on improved B2B market conditions post pandemic. We are maintaining cost discipline and striving for operational and business process efficiencies to help counter any upward pressure from inflationary effects and/or weakening currencies. Third, we continue to hold to our capital allocation framework and apply excess capital to highest return activities. Obviously, with equity prices under pressure, we have been extremely active in repurchasing our stock as noted by the prior slide and see it as a sensible allocation of capital. In this environment, it's hard to see any new acquisitions on a risk-adjusted basis, providing returns exceeding those and buying our own stock at these levels. We'll continue to be opportunistic across our capital structure. And finally, this management team is excited about the growth and free cash flow potential of LLA as we look out to 2023 and beyond. Many of the operational initiatives that we have been working on are starting to take shape and should enable us to better serve our customers and simultaneously reduce our cost base and increase the reliability and sustainability of our revenue streams. With that, operator, please open the line for questions.
Operator: [Operator Instructions]. The first question comes from Soomit Datta from New Street Research. Please go ahead.
Soomit Datta: First of all, just please, on free cash flow from Claro Panama. So you've highlighted the impact this year. Could you give us a kind of sense as to the direction of travel there over the next year or 2? You've talked about reaching synergies, I think, full run rate in 2024, if I'm not wrong, but I just wanted to check was that kind of at the end of the year, beginning of the year. How will that sort of negative drag ease over the next year or 2 would be helpful. That's the first question, please.
Balan Nair: Yes, as we mentioned, the synergies should drop in, in 2024, probably the second part of '24. Number of things that we are working on their kind of indicated the commercial integration happens early next year. A lot of network consolidation. We have -- between us, each of us have a significant amount of towers that we're going to consolidate, we're going to consolidate spectrum. We're going to reallocate the spectrum. Stores closing, there's a lot of activity. The usual stuff that we would do after we make an acquisition, the synergy numbers that we have with the transaction in the mid low single digits, and we are committed to that. But there is some costs that we're going to incur this year and certainly some part of next year as well as we integrate the businesses. But the team is an experienced team. We've done this many times, and we'll do it again here.
Soomit Datta: Yes. Okay. That's great. Maybe a quick follow-up, please. Just on -- you talked about the buyback. The run rate has been pretty significant in the first half and in Q2. I think you've got $107 million left on the authorization. How are you thinking about the pacing into the second half of the year?
Balan Nair: Well, we're very opportunistic. We have a grid that we are very disciplined to on our buyback. There's been a number of things, I think, Chris and I would like to see in the second half of the year how the economy goes, some of the macro impacts. We're going to be very disciplined, very prudent and very careful with our cash. And -- but we do have a grid, we are buying, and we will continue to buy, but we'll also balance that against how the economy is going. There's lot to learn still.
Operator: The next question comes from Kevin Roe from Roe Equity Research. Please go ahead.
Kevin Roe: A couple of questions on C&W, please, Balan. Jamaica, it was nice to see that returning to broadband. Subscriber growth, could you give us some more color on the drivers of positive sub growth in Internet, maybe an update on the competitive landscape? And do you expect this positive trend to continue in H2? And the second C&W question is more general on the health of the consumer sort of a real-time snapshot given inflationary pressures everywhere. Are you seeing any changes in bad debt, prepaid top-ups, days outstanding on billing, et cetera?
Balan Nair: Sure. Kevin. And I'll ask Inge to jump in here in a second as well. Jamaica, in the first quarter and maybe even a couple of months in the second quarter, we had some headwinds there. It's really a tale of 3 markets in Jamaica. We have our copper network, we have our HFC network, and we have our new fiber-to-the-home network on the fixed side. And clearly, we've been growing the fiber network and then we have some leakage on the copper network. And then on HFC, which has been a reliable growth for us as well, kind of spotted in the first quarter. Inge and her team revamped our commercial offerings, and we're starting to see, and you can see in our numbers, it's mostly driven towards the second part of the second quarter. And we, by the way, seeing the same trend already coming into the third quarter. So the trend is positive in Jamaica, and it's a duopoly market, a very good competitor that we're up against. And -- but nevertheless, we're doing really well there. On the -- in general, in the islands, as far as affordability, we just did a study and did a lot of really detailed analytical work on our consumers. And we don't see at this point, an affordability issue for our customers. And -- but we are constantly monitoring that. Inflation is up, unemployment is also up in these markets. But we sell a product that everybody wants, and we've done some surveys, and it's one of the last things people would give up. So we feel pretty good about that. And maybe I'll ask Inge to provide a little bit more color and closer to the ground. Inge?
Inge Smidts: Yes. Well, Jamaica, so indeed, we -- I think what turned the trend was our propositions, which are really catered towards the right segments on the right network, and that is starting to really work for us. And as Balan said, we continue the trend. And from a competitive point of view, we are competitive both on the mobile side as well as on the fixed side. So I do expect that with the new propositions and the way we run the business there, we will be able to really continue the results put down. And then overall Cable & Wireless, I think it's like Balan said, it's a matter of having the right proposition, which we are having. So we really upgraded them across the whole Caribbean region. We upgraded our speeds, making sure that everybody has the right products at the right speed because we do think that [indiscernible]. So we do believe that with the right proposition, the upgrades of our speeds, and we will continue to deliver on the right consumer trends there.
Operator: The next question comes from Matthew Harrigan from Benchmark. Please go ahead.
Matthew Harrigan: You know better than anyone how silly it can be an overlay developed market trends on emerging markets, but there's just a constant refrain in the U.S. and Europe on low move activity and how it's really affecting the gross additions on broadband and some other businesses, even though you've got very favorable churn. Can you comment on whether you're seeing that in any of the markets? And do you think you will get a spring back? Or is this just largely irrelevant to most of the markets? I mean as in Puerto Rico, probably has some U.S. type behavior. And then secondly, you've had so much political change across the region over the last year. Is there anything you find disconcerting? Are you just very -- I know you're very local, you're able to micromanage things as -- as things move along. I know you've got some exposure in Colombia and certainly, you're waiting to see what happens in Chile with the deal approval?
Balan Nair: Matthew, good question. On the moves as far as that impacting churn, unlike Europe and the United States, in our case, voluntary churn is less driven by moves and mostly driven by pricing. People do jump around and shop at the best deals. And that's why we have kind of an elevated churn. I mean it's one of the things about the region that we've been working pretty hard on because you have high gross adds and then you have high churn. So you're kind of like recycling customers between you and your competitor. And so there are a number of initiatives we've put in place. We started work on this early this year. We'll start to see some of the fruits of that labor probably in the fourth quarter to first quarter next year. That kind of tamps it down a little bit. We tried that in Chile as well. We tried the forever pricing to help with our churn. We saw some positive responses to them. But churn activity in our region is very different than North America and Europe. And it is slightly more elevated than those other regions. On the political front, we keep very close track. It does impacted, but not significantly. Perhaps if we were doing a transaction, political situations, of course, both on the buyer and the seller side, you'd look at that very closely. But from a day-to-day operations, our teams are completely focused on the customer. And while we monitor all the regulatory issues in front of us, at this point, we don't see any headwinds from a regulatory standpoint. And that's a testament to the team that we have here under our General Counsel and our regulatory teams, they are completely on top of it. They spend a lot of time with regulators, with government officials. We're quite proactive. Our local general managers, we encourage and we co-op them into also spending time with regulators and with government officials. And I can say with confidence across the board, we do have very good relationships. It's a very transparent, honest relationship with government officials, and we provide a service that they value as well. And we do it in a way, I think that's very friendly to communities. So I think we're going to be fine on that front, regardless of all the recent election outcomes.
Operator: This concludes today's question-and-answer session. I'd like to hand back to Balan Nair for any additional or closing remarks.
Balan Nair: Thank you, operator. And of course, thank you to everybody on the call. Clearly, you've seen our second quarter numbers, our first quarter numbers. The first half is just okay. And if you look at the guidance reiterated by Chris, the second half is a bigger half for us, the whole team is committed to that. There's a lot of good things that will happen certainly in the fourth quarter on the working capital front, on the commercial front. And the team is really committed to it. And -- but I think if I look at our business, really, the growth is in the future. Free cash flow story, we've been committed to that from the beginning, we said this business is run on free cash flow. And as Chris pointed out in his closing remarks as well, that the free cash flow story for this company over the next few years is going to be quite positive. And some of the math we can clearly do just from even just the integration. So we feel really good. We thank you for your support, and we'll be talking to you again in 90 days.
Operator: Ladies and gentlemen, this concludes Liberty Latin America's Second Quarter 2022 Investor Call. As a reminder, a replay of the call will be available in the Investor Relations section of Liberty Latin America's website at www.lla.com. There, you can also find a copy of today's presentation materials.